Operator: Thank you for standing by. Ladies and gentlemen, and welcome to the Seanergy Maritime Holdings Corp. Conference Call on the First Quarter ending March 31, 2025, financial results. We have with us Mr. Stamatis Tsantanis, Chairman and CEO, and Mr. Stavros Gyftakis, Chief Financial Officer of Seanergy Maritime Holdings Corp. At this time, all participants are in a listen-only mode. There will be a question and answer session at which time, if you would like to ask a question, please press star one one on your telephone keypad, and you will then hear an auto message advising that your hand is raised. Please be advised that this conference call is being recorded today, Tuesday, May 27, 2025. The archived webcast of the conference call will soon be made available on the Seanergy website, www.seanergymaritime.com under the webcast and presentation section under the Investor Relations page. Many of the remarks today contain forward-looking statements based on current expectations. Actual results may differ materially from the results projected from those forward-looking statements. Additional information concerning factors that can cause the actual results to differ materially from those in the forward-looking statements is contained in the first quarter ended March 31, 2025, earnings release, which is available on the Seanergy website again, www.seanergymaritime.com. We would now like to turn the conference over to one of your speakers today, Chairman and CEO of the company, Mr. Stamatis Tsantanis. Please go ahead, sir.
Stamatis Tsantanis: Thank you, operator, and welcome, everyone. Today, we are going to be presenting our financial results and company updates for the first quarter of 2025. Following a year of record financial performance, significant shareholder rewards, and targeted fleet expansion, Seanergy entered 2025 with strong momentum and a clear strategic vision. We position the company to fully leverage the positive long-term fundamentals of the Capesize market. Our actions in the first quarter of the year reflect our continued commitment to disciplined growth, balance sheet strength, and delivering value to our shareholders. Despite a softer earnings environment in the first quarter, our conviction on the long-term strengths of the Capesize segment remained unchanged. The market's core supply and demand fundamentals remain intact, and this confidence is reflected in our Board's decision to declare a dividend of $0.05 per common share. The payout exceeded what our formula would typically dictate, but the board acted decisively to uphold our commitment to consistent shareholder returns even during temporary market softness. The subsequent rebound in spot Capesize rates to normalized levels further supports this decision and our market outlook. Turning to our financial results, in the first quarter of 2025, we recorded revenue of $24.2 million, EBITDA of $6.6 million, and a net loss of $6.8 million. As of quarter-end, our cash balance stood at $31 million. Despite the quarterly loss, I want to emphasize the strength and flexibility of our balance sheet, which positions us to ramp up capital returns as the Capesize market continues to recover. On the operational front, in February, we took delivery of two high-quality Japanese-built Capesize vessels. The Blue Ship, built in 2011 at Mitsui Shipbuilding in Japan, was acquired via a six-month bareboat charter and has commenced employment with a first-class operator on an index-linked hire contract plus FX premium. The May Ship, a larger Newcastlemax built in 2013 at Imabari Shipbuilding of Japan, was acquired through a combination of cash and bank financing and is also employed with a first-class operator under a contract offering index-linked hire with a guaranteed profitable floor. Both acquisitions were consistent with our focus on modern, fuel-efficient Japanese tonnage secured at favorable terms and delivering immediate returns. On the financing front, during the quarter, we concluded two separate transactions totaling $88.1 million, with proceeds used to refinance the existing debt of four vessels and to fund the acquisition of the May Ship. We are pleased with the timely execution of these deals, completed at improved pricing and terms. These refinancings effectively remove all debt maturities for the next four quarters, enabling us to focus on capital returns and market opportunities. From a commercial standpoint, we achieved a daily time charter equivalent of $13,400 in Q1 2025, about 3% above the Baltic Capesize Index average, once again validating our commercial strategy. Our guidance, however, for Q2 stands at approximately $19,100 based on the prevailing FFA curve as of May 23. A strong quarter-on-quarter improvement that should support a return to normalized capital distributions. We have also acted decisively to manage forward visibility. Approximately 39% of our fleet's operating days for Q2 are hedged at an average rate of approximately $22,700. In addition, we have secured long-term coverage for roughly one-third of our available days throughout the end of the year at an average daily rate exceeding $22,000. These decisions reflect our commitment to securing profitable cash flows while ensuring a high return on capital and maintaining sustainable fleet growth. I will now pass the call to Stavros, who will fill you in on our financial information for the quarter as well as discussing our balance sheet and debt refinancing. Stavros? Please go ahead.
Stavros Gyftakis: Thank you, Stamatis, and welcome to everyone joining us on today's earnings call. Let's begin with a review of the key highlights from our financial performance for the first quarter ended March 31, 2025. Our net revenue for the quarter totaled $24.2 million over a TCE of $13,400 per day, compared to $38.3 million and a TCE of $24,100 in the same period last year. However, it is worth stating that our TCE still outperformed the Baltic Capesize Index, reflecting the advantages of our hedging within the context of our overall commercial strategy. Adjusted EBITDA stood at $8 million, while we recorded an adjusted net loss of $5.2 million. Looking ahead, we expect to return to profitability in the second quarter, supported by a stronger market and the freight hedging activities discussed previously by Stamatis. Current estimates indicate a recovery in TCE levels to over $19,000 per day. On the expense side, we have successfully reduced our daily OpEx by 7% year-over-year, thanks to the improving efficiency of our ship management team. Now moving on to our balance sheet, our cash position stood at $31 million. Despite the soft Capesize market and cash outlays, our cash balance declined only moderately during the quarter. This was achieved on the back of our proactive financing strategy, which enables a healthy balance between liquidity and leverage. This active management of our loan book, in combination with a consistently strong market evaluation of our fleet, supports our financial resilience. It has allowed us to sustain dividend distribution, maintain operational flexibility, and fund investments on our vessels that are scheduled to go through drydocking in the coming quarters. Our total assets stand at $603.5 million, while balance sheet equity stood at $264.8 million. Our debt, including liabilities under finance leases, amounted to $323.7 million at the end of the first quarter, resulting in a loan-to-value ratio below 50% based on the market values of our fleet, which have remained relatively steady in the last six months. Now before moving forward, I'd like to briefly recap our latest financing activities. In February, we finalized a new sustainability-linked loan with Piraeus Bank to refinance existing debt of World Ship and Ownership at significantly improved terms while also partially funding the acquisition of May Ship. The total amount of the transaction was $53.6 million with a five-year term and an interest rate of 2.05% plus term SOFR per annum, 55 basis points lower than the rate of the refinanced facility. This rate is subject to further reduction based on the achievement of specific emission reduction targets. In March, we entered into two separate sale and leaseback agreements with Quarship and Friendship with entities affiliated with CMB Financial Leasing, totaling $34.5 million. The proceeds were used to refinance the current debt of the respective vessels under a loan from Alpha Bank. The vessels were sold and chartered back on a bareboat basis for a period of five years, with Seanergy retaining continuous purchase options at predetermined prices. Each bareboat charter also includes a purchase obligation at the end of the charter period. The financings bear interest at a rate of three months term SOFR plus 2.15% per annum, 130 basis points lower than the average rate of the refinanced facility. At the same time, we are in discussions with potential financiers to fund the purchase option price of Blue Ship due later this summer. Our goal is to secure favorable terms while minimizing impact on our liquidity. On this note, it is important to highlight that Seanergy has no balloon payments due until the second quarter of 2026. Overall, we remain optimistic about the profitability in the coming quarters and confident in the strength and flexibility of our balance sheet. This positions us well to continue delivering on our strategic priorities: disciplined fleet growth and meaningful shareholder returns across the market cycle. This concludes my review of the financial results and updates. I will now pass the call back to Stamatis, who will now discuss the Capesize market and industry fundamentals. Stamatis?
Stamatis Tsantanis: Thank you, Stavros. After registering a strong performance in 2024, the Capesize market experienced a temporary correction in the first quarter of 2025, consistent with historical seasonality. But this time, it was exacerbated by severe weather disruptions affecting Australian exports and the strong inventories built up in 2024, especially on coal. Capesize daily charter rates rebounded sharply in March as normal cargo flows resumed, with the Baltic Capesize Index recovering from a low of about $6,000 a day to a high of approximately $23,000 within the same quarter. While short-term volatility continues to be shaped by cautious economic sentiment and evolving trade policy uncertainty, the long-term Capesize fundamentals remain firmly positive. The primary reason is highly constrained vessel supply growth combined with steady and resilient demand for major dry bulk commodities. On the supply side, the Capesize and Newcastlemax order book is currently slightly below 8%, one of the lowest levels historically, especially significant given the increasing demand for fleet renewal due to tightening environmental regulations. Approximately 10% of the existing fleet is over 20 years old and becoming less and less competitive due to the rising cost of environmental compliance. New orders remain limited due to constrained yard capacity, high newbuilding prices, and uncertainty about propulsion technology. Only six new Capesize and Newcastlemax orders have been placed year-to-date compared to 77 for all of 2024. Net fleet growth is expected at just 1.5% in 2025 and 1.9% in 2026. Factoring in increased drydocking, effective growth may be even negative during the year. Vessel speeds have stayed historically low due to EEXI and CII regulations and are expected to remain subdued further, reducing the effective supply. Taken together, this points to minimal net fleet growth for several years, creating a very supportive environment for Capesize earnings. On the demand side, global steel demand remains resilient. Although China's steel production is nearly flat year-on-year, iron ore imports are growing due to depletion of domestic mines and a pivot towards higher-grade imported ore. Australia's iron ore exports were disrupted early in the year by severe flooding and cyclones, with year-to-date volumes down 2.6%. However, miners have reaffirmed 2025 export guidance, pointing to a significant upside for the rest of the year. Brazilian iron ore exports are up 4.6% year-to-date despite the high base from Q1 2024. The peak export season from May to November is now starting, adding to the relevant momentum. Vale of Brazil continues to deliver on efficiency gains and high-grade iron ore output, which bodes well for long-term export growth. Since Brazilian cargoes require triple the tonnage of Australian cargoes, the impact on Capesize demand is magnified. The Simandou iron ore project in Guinea remains on track to start exports in November 2025. With one of the lowest-cost structures globally, Simandou is a game-changer for long-haul, premium-grade Capesize-exclusive trade. It's a key structural opportunity that we intend to capitalize on. Iron ore ton miles are expected to grow by about 5% annually in both 2026 and 2027. Guinea's exports of bauxite are up 43% year-to-date. Full-year production is expected to reach 200 million tons, up from 145 million tons in 2024, driven by aluminum demand. Thermal coal imports dropped around 8% year-to-date as inventories started high and hydropower generation surged in China. However, as stockpiles normalize, seasonal demand is expected to rebound in the second half of the year. Taken together, demand across all major Capesize commodities and raw materials remains robust and well-supported by global infrastructure, energy consumption, and manufacturing needs. With extremely low fleet growth and structural efficiencies, such as slow speeds and increased dry dockings, Capesize utilization is projected to tighten progressively. To conclude, Seanergy is very well positioned as a pure-play Capesize company fully aligned with its long-term market tailwinds. Our strategy is built on three pillars: capital returns, strategic fleet growth, and balance sheet strength. Our capital structure remains healthy and flexible, allowing us to sustain returns and pursue value-enhancing opportunities as they arise. With these foundations, we are confident in our ability to maintain a leadership position in the Capesize space. On that note, I would like to turn the call over to the operator for any questions you may have. Operator, please take the call. Thank you.
Operator: Thank you. As a reminder, to ask a question, please press star one one on the telephone. To register your question, please press star one. We will now take the first question from the line of Mark Reichman from Noble Capital Markets. Please go ahead.
Mark Reichman: Yes. Would you please walk us through the dry dock schedule? I mean, we had assumed fifty days in each of the first and fourth quarters, a hundred days in each of the second and third quarters. So basically twenty-five days per vessel.
Stavros Gyftakis: Hi. Morning, Mark. This is Stavros. For your question. Yes, basically, I mean, we have approximately seven ships remaining for dry docking this year. Which we are trying to push a couple of ships to the first quarter of next year depending also on the prevailing market conditions. If the market remains at current levels, we will do as much as possible this year expecting next year to be a bit stronger. We expect in the second, third, and fourth quarter in total, around ten to fourteen million of CapEx concerning the dry dockings. Around twenty days per vessel. We have already dry docked four vessels this year, one in the fourth quarter and three in the second. So, basically, this is what remains.
Mark Reichman: Okay. Great. That's very helpful. And then just secondly, would you just please elaborate on the company's strategic and capital allocation priorities? I mean, I think in the commentary, you mentioned, you know, capital returns and market opportunities. And so I was kind of wondering now that you have concluded deliveries of the two new vessels, what's next for your fleet?
Stavros Gyftakis: Hi. It is going to be consistent with last year. As you saw last year, we had the top priority to distribute a very significant part of our cash flow in dividends. We did some buybacks as well. And at the same time, we arranged to buy a few ships. So I believe that 2025 will also be consistent. We do not have anything lined up in respect of further acquisitions. Not because we do not want to, but because the selection of assets right now is scarce and limited. So, unfortunately, there are not any, how do you say it, compelling candidates right now in place. But if I were to give a good prediction, I would say that we will stay along the lines with last year.
Mark Reichman: That's very helpful. Thank you very much.
Stavros Gyftakis: You are very welcome. Have a good day.
Operator: Thank you. We will now take the next question from the line of Tate Sullivan from Maxim Group. Please go ahead.
Tate Sullivan: Hi, guys. Good day. Good day. Can you talk about when the ship opportunities arise, are you competing against some of the trading houses, large mining companies, or who are some of the other buyers out there in the type of market for?
Stamatis Tsantanis: Well, we are fortunate to have some kind of a right of first offer on a number of ships that are potentially available for sale or purchase by us. So that's very helpful in the event that we have these opportunities. And as far as the commercial agreements, we are also fortunate to have some key partners that are ready to provide us with lucrative agreements for chartering the ships. So in both cases, thanks to all these long-standing relationships we have with a number of potential sellers as well as commercial operators and charters, we have the ability to buy and charter ships as we have proven very successfully. As a testament to that is the two recent purchases that we did. As you can see, not only were in both cases ships that were not available for sale and they were not into the sales reports at all up until the moment that we concluded the deal. The chartering arrangements were also above market at very profitable rates. Not because it's only the relation, but the fact that we upgrade the vessels with all these devices and things that we do for better operation. So overall, thanks to our long-standing relationships and good work that our operations and technical department are performing, we are able to provide good contracts and, you know, overall great projects for their shareholders.
Tate Sullivan: Thank you.
Stamatis Tsantanis: Very welcome, Tate. Thank you.
Operator: Thank you. We will now take the next question from the line of Liam Burke from B. Riley Securities. Please go ahead.
Liam Burke: Thank you. Mr. Tsantanis, Mr. Gyftakis, how are you today?
Stamatis Tsantanis: Very well. How are you?
Liam Burke: I'm doing just great. Thanks. Stamatis, you talked about the MAC on iron ore. You've got greater ton miles because it's being sourced further away at what's the capacity come on in Guinea and pretty stable underlying steel production. Bauxite has given you a nice follow-through on Capesize demand. Could you give us a little more detail on how much more we can see that bauxite supporting demand over time?
Stamatis Tsantanis: Well, as you know, the bauxite has basically gone up by almost forty to forty-five percent since last year. So it's a major, major commodity now for transportation on a long-haul basis. And we expect that to continue. I cannot really say that it's going to go another forty percent next year, and I don't really see a flat demand maybe five percent up for the remainder of the year and for 2026. Which already, as I mentioned before, has increased significantly since last year. So bauxite has become a dominant commodity, raw material, for the transportation by Capesize vessels. So both iron ore and bauxite are expected to be quite good. Up year on year, even though we had some sort of a weak period year to date. But I'm confident that as we turn into, you know, Q3 and everything, we will see bigger and bigger volumes coming up from West Africa. We don't see any slowdown as your information from the brokers are telling us.
Liam Burke: Great. Thank you. Stavros, your daily OpEx per vessel dropped nicely. Is that just quarter-to-quarter variability, or is there something else?
Stavros Gyftakis: Hi, Liam. So as I've told you in previous calls, I mean, we prefer to look at OpEx on an annual basis because, I mean, you avoid fluctuations quarter over quarter. But, basically, as more of the ships that we have acquired in the last three years go through dry dockings with our own technical management team, then, I mean, you have a direct impact on OpEx after the dry docking. So this you will see reducing or stabilizing at around the levels that you see in the first quarter. And we're happy to see drastic improvement so far, and we hope that this trend will continue into the next quarters.
Liam Burke: Thank you very much, Kim.
Operator: Thank you. We will now take the next question from the line of Lars Eide from Arctic Securities. Please go ahead.
Lars Eide: Hello? Hi. Good morning. Good afternoon.
Stamatis Tsantanis: Good morning. Thank you for taking my question.
Lars Eide: I guess I have a question on the market. It was touched upon briefly during the presentation as well. But I was wondering about with the Capesize rates having been somewhat directionless recently. And in terms of near-term market catalysts, what do you consider to be the most impactful over the coming months? What are you tracking the closest? Is it geopolitics? Is it a new list announcement or something different? Thank you. Can you please repeat the first part of the question? We kind of lost you for a moment.
Lars Eide: Yeah. I was saying that with the Capesize rates being somewhat directionless recently, and in terms of, like, near-term market catalysts. Is it something you're tracking? What do you think will be the most impactful over the next coming months? Or is it something that you're tracking closely, or is it yeah. If you just elaborate a bit on that, that would be great.
Stamatis Tsantanis: Yeah. That's a great question. Thank you. So for us, it's not a matter of demand. Yes. It has been slightly lower the volumes compared to last year, but not enough to make such a big damage that we incurred, especially in the first quarter, in the beginning of the first quarter in February. The biggest issue, as I have repeated many, many times, is the splitting of cargoes. We had a big variation between the Capesizes and the Panamax Kamsarmaxes. And, basically, zero congestion on the smaller sizes. Which meant that in order to secure employment, the Panamax Kamsarmaxes took a lot of coal cargoes from the Capesize vessels. So it's not a matter of demand. I mean, the overall volumes are pretty much stable. We have not really seen any material decrease in demand. It was the increase of the attractive supply which is, as I mentioned, driven by the Kamsarmax Panamax incremental effective availability because of significantly reduced congestion levels all over the world. Now for the second half of the year, the positive news is that all the major miners have reiterated their export projections, which means that in order to cut the figures that they have said that they will be able to meet, export levels will need to increase substantially. Just to get where they have predicted they will get. Having said that, I believe that once we see the increased volumes or the increased push of commodities, that are completely aligned with last year or maybe slightly lower, we expect we will see rates being significantly higher for the remainder of the year. Just to give you some thoughts on this matter further, 2023, that was, let's say, the weakest year of the last five years. We had an overall average five BCI of $17,500 approximately. In order to get to the weakest year in 2025, assuming that is our low-case scenario, the remainder of the year needs to be anywhere between $23,000 and $25,000 on the Capes. Which means that, you know, we see a lot of upside on that. And as an absolute downside risk, I would say that this is where the FFAs are telling us today. I see material upside. As far as we're concerned above that. Which may be anywhere in the $22,000, $23,000, or even in the high twenties. For the remainder of the year. I cannot give you that, but this is kind of internal predictions we have made.
Lars Eide: Okay. Thank you very much for the call. I'll turn it over.
Stamatis Tsantanis: Thank you. Hope it clarifies.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect. Speakers, please standby.